Operator: Good day, and welcome, everyone, to the Lockheed Martin Fourth Quarter and Full Year 2025 Earnings Results Conference Call. Today's call is being recorded. If you would like to ask a question, please press star, then 1 now. At this time, for opening remarks and introductions, I would like to turn the call over to Maria Ricciardone, Vice President, Treasurer, Admin, and Investor Relations. Please go ahead.
Maria Ricciardone: Thanks, Sarah. Good morning, everyone. I'd like to welcome you to our fourth quarter and full year 2025 earnings conference call. Joining me today on the call are James Taiclet, our Chairman, President, and Chief Executive Officer, and Evan Scott, our Chief Financial Officer. Statements made today that are not historical fact are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of federal securities laws. Actual results may differ materially from those projected in the forward-looking statements. Please see Lockheed Martin's SEC filings for a description of some of the factors that may cause actual results to differ materially from those in the forward-looking statements. We posted charts on the website today that we plan to address during the call to supplement our comments. These charts also include information regarding non-GAAP measures that may be used in today's call. Please access our website at www.lockheedmartin.com and click on the Investor Relations link to view and follow the charts. With that, I'll turn the call over to Jim.
James Taiclet: Thanks, Maria. Good morning, everyone, and thank you for joining us on our fourth quarter and full year 2025 earnings call. As you saw in our press release this morning, 2025 marked unprecedented demand for Lockheed Martin's industry-leading defense technologies. We finished the year with a record high backlog of $194 billion, about two and a half times annual sales, and delivered 6% year-over-year sales growth. We also generated free cash flow of $6.9 billion, which was above our prior expectation, and after we prefunded our pension at almost $900 million. We also made a significant $3.5 billion investment in capital and independent research and development in support of transformative innovation and increased production capacity. This strong financial performance is a direct result of our relentless focus on operational execution. Some examples of this from 2025 include delivering 191 F-35 fighter jets and 120 PAC-3 MSC interceptors, both record numbers. We also pioneered over-the-air updates to the Aegis weapon system for real-time battlefield advantages using AI and successfully launched GPS III and Tranche 1 transport layer satellites to strengthen national security architectures in space. This is what you can expect from Lockheed Martin: continued significant investment to advance technology development and produce proven major weapon systems at ever greater scale. We've built on this momentum with a powerful start to 2026. Lockheed Martin products once again proved critical to the US military's most demanding missions. The recent Operation Absolute Resolve included F-35 and F-22 fighter jets, RQ-170 Sentinel stealth drones, and Sikorsky Black Hawk helicopters, which helped ensure mission success while bringing the men and women of our armed forces home safely. In addition, we worked closely with the Department of War Leadership to reach the landmark seven-year framework agreement for PAC-3 MSE interceptors that we together announced earlier in January. This groundbreaking agreement was just the first step in bringing commercial business practices to large-scale production within the defense industrial base. And progress continues as we just announced this morning a similar framework agreement for the THAAD interceptor along with additional systems from our industry colleagues also being discussed this week. As the first implementation of such a long-term multiyear agreement, the PAC-3 MSC will increase annual production capacity from approximately 600 to 2,000 per year. That's more than tripling the production rate to support US forces, allies, and partner nations in today's increasingly unsettled geopolitical environment. These types of agreements fully support the Department of War's acquisition transformation strategy, and we look forward to continuing our partnership with the US government to definitize the contract and unleash a renewed era of innovation, accountability, and execution across the defense industrial base. In fact, I am in Camden, Arkansas today, which is where we build PAC-3 MSC missiles and other munitions. Lockheed Martin has produced more than 700,000 missiles and rockets here in Camden. We've been steadily increasing PAC-3 MSE production since 2023, more than 60% over the last two years alone. And the progress we've already made will give us the critical head start in ramping up to 2,000 per year. Further, we intend to make a multibillion-dollar investment to accelerate munition production over the next three years, including building facilities across five states, such as in Camden, Arkansas, with a brand new munitions acceleration center facility breaking ground today. I was also recently in Fort Worth with Secretary of War Pete Heck, visiting the F-35 production line as part of his Arsenal of Freedom industry tour. The visit underscored Lockheed Martin's role in driving acquisition transformation, delivering critical capabilities to the US and its allies. Our mile-long Fort Worth facility employs more than 19,000 people, and over 1,900 suppliers across the United States contribute to the F-35 supply chain, providing skilled jobs to many thousands more Americans nationwide. Together, these talented Lockheed Martin and supplier employees enable an F-35 production rate that is five times faster than any other allied fighter currently in production, highlighting the program's scale and maturity. With regard to our 2026 financial outlook, we expect year-over-year sales growth to be approximately 5% at the midpoint, with the year-over-year reported segment operating profit growth to be more than 25%. Free cash flow is anticipated to be in the range of $6.5 to $6.8 billion, which is well above our prior expectation and includes a year-over-year increase in investment of about 35%, with capital and independent research and development approaching $5 billion in 2026, which is a step function increase in internal investment. Given the size and scope of Lockheed Martin, in 2026, we will continue our disciplined and dynamic approach to capital allocation, enabling the step function increase in internal investment to fund capacity and growth. Evan will provide more detail on our 2026 outlook in a moment. Turning to our programs and highlights. First, on the F-35, during the fourth quarter, we delivered 48 F-35 aircraft, bringing total deliveries in 2025, as I said, to 191, beating our own expectations. As noted earlier, Lockheed Martin ended the year with record backlogs, and the largest awards in the quarter were with the F-35 program. We definitized Lot 18 and 19 contracts with the Department of War's Joint Program Office, we were awarded the full fiscal year 2026 air vehicle sustainment contract, and we received a contract modification in support of Lots 20 and 21 production aircraft. These awards total over $15 billion and reinforce the continued demand for the most advanced fighter jet by both domestic and global customers. For example, in October, Belgium's first F-35A aircraft to be stationed in-country arrived at Florence Airbase, marking the F-35's official incorporation into the Belgian Air Force. In December, senior US and Finnish officials gathered at our Fort Worth facility to celebrate the rollout of Finland's first F-35. In 2026, we will make further investments in the program to advance its position as the world's most capable multirole fighter, with a focus on making further progress on Block 4 capability improvements. We've also committed to an additional $1 billion of strategic internal investment for the F-35, with an emphasis on the aircraft sustainment system to improve mission-capable rates across the fleet. This is an absolute priority for us and one we are working closely with the Department of War on. Also at Aeronautics, we are making investments in the most advanced technologies, such as unmanned systems. At Lockheed Martin Skunk Works, with industry partners and the US Air Force, we together demonstrated the capability to control a drone wingman from the cockpit of an F-22, the first time ever that a fifth-generation fighter showed the ability to control an uncrewed vehicle in flight together. Further, at Skunk Works and in partnership with NASA, we successfully completed the first flight of the experimental X-59 aircraft in October. This is a revolutionary quiet supersonic aircraft designed to pave the way for faster commercial air travel even over land. At MFC, we continue to experience unprecedented demand across many critical munitions. We were awarded a contract for 31 THAAD interceptors and secured the largest production contract to date for the infrared search and track ERS 21 Block 2 pod system. This brings fifth-generation sensors and data links to fourth-generation aircraft. At RMS in November, Secretary Heck remotely piloted an autonomous Black Hawk from DARPA headquarters. This AI-enabled unmanned helicopter technology will enable critical missions such as contested logistics, air evacuation, and even wildfire fighting without putting pilots and aircrews at risk. Speaking of amazing technology, we successfully used the shipboard laser system, Lockheed Martin's Helios, to knock an incoming UAV right out of the sky. The Helios weapon system successfully neutralized four drone threats in a US Navy-operated counter-UAS drone demonstration at sea, showcasing an opportunity to eliminate drone attacks using lasers and saving US and allied air defense missiles for more advanced threats. This development of laser weapon systems is just one example of Lockheed Martin's support of the Homeland Defense Mission, including Golden Dome for America. We also continue to collaborate with government and industry in our prototyping environment at our Center for Innovation in Virginia to support the command and control aspects of Golden Dome. We're also, as mentioned earlier, making substantial investments to rapidly increase production capacity across missiles, sensor suites, battle management systems, and satellites, as well as the rapid development of space-based interceptors that will be directly relevant to achieving the overall objective for Golden Dome. Also in the quarter, the Space Development Agency awarded Lockheed Martin Space a contract for 18 satellites for its Tranche 3 Tracking Layer Constellation, with a potential value of more than $1 billion. These satellites will provide next-generation missile tracking capabilities for the SDA's proliferated warfighter space architecture. Finally, on the US defense budget, as the FY26 appropriations process unfolds amid this dynamic geopolitical environment, there continues to be broad support for national defense initiatives from the administration, the Department of War, and Congress. Lockheed Martin's core programs remain fundamental to defense priorities, such as PAC-3 missiles, homeland security for forward force security as well, the F-35 fighter jet for air dominance, the CH-53K heavy lift helicopter for contested logistics, and the fleet ballistic missile for the nuclear triad. We remain fully focused on converting our backlog and partnering with our US customers, as well as across defense and commercial industry, to deliver the systems and solutions necessary for global security and deterrence and to keep our soldiers, sailors, airmen, and guardians safe in doing their missions. I'll now turn it over to Evan before we take your questions.
Evan Scott: Thank you, Jim, and good morning, everyone. Today, I'll provide an overview of our consolidated financial results for the fourth quarter and full year, then hand off to Maria, who will cover business area details, and I'll come back at the end to discuss the outlook. 2025 was a transformative year for Lockheed Martin. Backlog grew $17.3 billion, or 17%, and included significant awards for key programs such as F-35, PAC-3, JASSM, LRASM, and CH-53K, providing better visibility through the end of the decade. We generated over $9 billion of underlying operating cash flow before making $860 million of discretionary pension contributions, and we took the necessary steps to reduce risk on Aeronautics and Sikorsky programs in the second quarter, positioning these programs to deliver much-needed capabilities to our customers. Moving to chart four, fourth-quarter consolidated sales were $20.3 billion, up 9%, with strong year-over-year growth coming from all four business areas as our core programs continue to build momentum and the much-anticipated growth inflection begins to take shape. Next, segment operating profit of $2.1 billion in the quarter was up considerably year-over-year due to the charges on the Aeronautics and MFC classified programs in the fourth quarter of last year. Segment operating profit margins were 10.1% in the quarter. As we expected, program milestone timing and life cycles led to a light quarter of favorable profit rate adjustments. We generated $5.80 of earnings per share in the quarter, which included a noncash nonoperating charge of $479 million related to the follow-on pension transaction, partially offset by a $109 million benefit due to the favorable resolution of tax accounting issues. On a year-over-year basis, EPS was up significantly due to the prior year charges. Shifting to cash, we generated $2.8 billion of free cash flow in the fourth quarter as we continue to rapidly deliver capabilities to customers, achieving operational milestones that triggered strong cash receipts. Moving to chart five in the full year, sales of $75 billion were up 6%, driven by strong growth at Missiles and Fire Control, Aeronautics, and Space. Segment operating profit of $6.7 billion grew approximately 11% year-over-year. Recall both periods included significant charges. On a normalized basis, segment operating profit grew in line with sales. Regarding new business, the company recorded over $65 billion in orders during the second half of the year, bringing the full-year book-to-bill to 1.2, resulting in a record backlog of $194 billion to end 2025, the fourth consecutive year of backlog growth. This demonstrates the resilient global demand for Lockheed Martin's capabilities. Our earnings per share was $21.49 in 2025, down 4% from the prior year. While our sales growth and slightly higher reported margins drove segment profits higher, this was more than offset by below-the-line items, including increased interest expense, a higher tax rate, and higher operating FASCAS expense. Shifting to cash, the strong fourth-quarter collections exceeded our prior expectations, helping us to deliver over $6.9 billion of free cash flow in 2025. And we reinvested $3.6 billion back into the business to drive innovation into our solutions and more rapidly scale technologies for our customers. Now we'll turn it over to Maria.
Maria Ricciardone: Thanks, Evan. Starting with Aeronautics on chart six. Fourth-quarter sales at Aero increased 6% year-over-year, primarily driven by higher sales on classified programs due to the absence of losses recognized in 2024. Higher volume and favorable contract mix for the F-35 program also contributed to the increase. Adjusting for the impacts of the classified program charges and the C-5 contract resolution benefit in last year's fourth quarter, the adjusted sales growth at Aero was approximately 4% year-over-year. In the quarter, segment operating profit increased 80% compared to Q4 2024, driven by higher profit booking rate adjustments due to the absence of classified Reach Forward losses recognized in last year's fourth quarter. Higher sales volume in 2025 also contributed to the year-over-year increase. Adjusting for the classified charges and the C-5 claim resolution benefit in Q4 of last year, Aero operating profit year-over-year increased slightly in the quarter. For the full year, sales increased 6% to $30.3 billion, driven by higher F-35 production and sustainment volume, partially offset by lower volume on classified programs. Full-year segment operating profit at Aero decreased 17%, driven by lower profit booking rate adjustments related to the classified program reach forward losses and unfavorable profit adjustments on C-130 in 2025. This was partially offset by the higher sales volume. Adjusted for the classified program losses in both years, 4% in 2025. Aero's segment operating profit margin was 6.9% for full-year 2025. Adjusted for the classified program losses, Aero's segment operating profit margin was 9.9%. The photo to the right depicts the successfully completed first flight of the X-59 Quiet Supersonic aircraft, as Jim previously mentioned. Turning to Missiles and Fire Control, chart seven. Sales at MFC in the quarter increased 18% from the prior year, driven by higher volumes from production ramps for precision fires programs and existing PAC-3 contracts. Segment operating profit in Q4 increased by $1.3 billion year-over-year to $535 million, primarily from the absence of the loss recognized on a classified program in 2024. The higher sales volume also contributed to the increase. For the full year, MFC sales increased by 14% to $14.5 billion due to production ramps on JASSM, LRASM, and Precision Fires programs, as well as existing PAC-3 contracts. Full-year segment operating profit increased by $1.6 billion year-over-year, primarily driven by the absence of the $1.4 billion loss recognized on a classified program in 2024, as well as the higher sales volume. MFC's segment operating profit margin for the full year 2025 was 13.8%. You can see on the right the photo of a high mobility artillery rocket system mobile rocket launcher, HIMARS. On November 5, we delivered the 750th HIMARS. Shifting to Rotary and Mission Systems on Chart eight. Sales at RMS increased 8% year-over-year in the quarter, primarily from higher volume at Integrated Warfare Systems and Sensors (IWSS), radar programs, and River Class Destroyer, formerly known as Canadian Surface Combatant. Higher production volume on Sikorsky Black Hawk programs also contributed to the increase. Operating profit in the fourth quarter decreased 9% year-over-year, mainly due to unfavorable profit adjustments on Black Hawk programs and the absence of a benefit from an intellectual property license arrangement that occurred in 2024. This decrease was partially offset by the higher sales volume. For the full year, sales at RMS were comparable to 2024, at $17.3 billion. 2025 sales increased from higher production volume on Black Hawk programs at Sikorsky and the higher volume on the River class destroyer and radar programs at IWSS. These increases were offset by charges on the Canadian Maritime Helicopter Program (CMHP) and the Turkish Utility Helicopter Program (TUHP) that were recognized in the second quarter, as well as lower volume for various training, logistics, and simulation programs. Operating profit at RMS decreased 31% for the year, driven by a $610 million decrease in profit booking rate adjustments, primarily due to the losses recognized on CMHP in the second quarter. This decrease was partially offset by the absence of an unfavorable profit adjustment on SIFIHawk programs in 2024. Adjusting for the CMHP and TUHP program losses in '25, RMS operating profit grew 3% year-over-year. RMS's segment operating profit margin was 7.6% for full-year 2025. Adjusted for the CMHP and TUHP program losses, RMS segment operating profit margin was 11.3%. The photo on this page represents the fully autonomous Black Hawk helicopter, the UHawk. On Chart nine, we'll conclude the business area discussion with 8% year-over-year in the fourth quarter, primarily driven by higher sales volume on strategic and missile defense programs, including the Next Generation Interceptor (NGI) and fleet ballistic missile (FBM) programs, as well as higher volume for the transport layer and Orion programs. Operating profit decreased 4% compared to Q4 2024, due to lower equity earnings from United Launch Alliance (ULA), partially offset by the higher sales volume. Turning to the full year, sales increased 4% to $13 billion, driven by higher volume on NGI, FBM, and Orion programs, partially offset by a decrease for National Security Space programs due to program lifecycle, the overhead persistent infrared (OPIR) missions. Operating profit increased 10% to $1.3 billion in 2025, primarily resulting from favorable at-complete performance on certain commercial civil space programs during the first half of the year, as well as the higher overall sales volume. The increase was partially offset by lower ULA equity earnings. Space's segment operating profit margin for the full year 2025 was 10.3%. To the right on this page is a photo of the Space Development Agency Tranche 3 Tracking Layer Constellation, which, as Jim previously mentioned, was awarded to Lockheed Martin in the fourth quarter. Now I'll turn it back over to Evan.
Evan Scott: Turning to Chart 10 and our 2026 outlook, we expect to carry the momentum from 2025 into this year. And it's worth noting that we continue to make progress on our digital transformation, having recently completed the first migration of a business area to an upgraded enterprise resource planning system to start the year. We expect this internal investment will unlock speed and drive efficiencies across the enterprise, helping us to maintain cost and schedule for customers and create value for shareholders. In 2026, we are forecasting sales to be in the range of $77.05 to $80 billion, up $3.7 billion at the midpoint, applying a solid 5% organic growth year-over-year. Segment operating profit is anticipated to be in the range of $8.425 to $8.675 billion, resulting in a midpoint margin of 10.9%. Before moving to EPS, I'll briefly step through some of the business area dynamics. First, Aeronautics. We expect low single-digit overall growth in 2026, with Skunk Works and F-35 sustainment leading the way, each with potential for double-digit growth year-over-year. F-35 production will see a slight lift due to lot mix and pricing, with the production rate holding steady at 156 aircraft per year. We expect deliveries to be in line with the production rate this year. Aero margins of 9.8% at the midpoint reflect the dilutive nature of the growth in Skunk Works and from F-35 sustainment. At MFC, we estimate the ongoing missile production ramps to drive 14% year-over-year sales growth at the midpoint, with margins expected to remain consistent with 2025 levels. Next, at RMS, we anticipate overall sales to grow in the low single-digit range, with higher growth coming from Sikorsky driven by the CH-53K and Black Hawk programs, partially offset by program timing and lifecycle headwinds on several radar training programs. RMS margins at 10.5% at the midpoint include impacts due to portfolio mix and program life cycles. Finally, space is projected to grow approximately 5% year-over-year at the midpoint, with strong growth expected on fleet ballistic missile, NGI, and hypersonic programs within the strategic and missile defense systems portion of the business, as well as solid growth from space tracking communication missions due to the Space Development Agency's transport and tracking layer programs. Space margins at the midpoint are slightly above 10% and include higher equity earnings related to ULA. Back to the consolidated level. On earnings per share, we project a range of $29.35 to $30.25. The midpoint range is over $8 higher than 2025, primarily due to the aforementioned program pension-related charges accounting for approximately $7 of the year-over-year improvement. The remaining upside comes from higher volume and a higher net FASCAS pension adjustment, partially offset by nonoperating related expenses, namely a higher tax rate. Wrapping up with cash, our free cash flow guidance is $6.5 billion to $6.8 billion. That estimate includes between $2.5 billion and $2.8 billion of capital expenditures as we are planning to increase our investment to support production ramps and other strategic growth opportunities. Included in this range is the initial portion of the multibillion-dollar investment for MFC's missile ramps. We expect investment will continue to be elevated going forward to meet customer demand for our munitions, and the acceleration of production for these programs provides line of sight to a compound annual growth rate for MFC sales of at least double-digit through the end of the decade. Our one final item is the quarterly cadence for 2026. With 2024 and 2025, we had thirteen weeks in every quarter. This year, there are twelve weeks in Q1 and fourteen weeks in Q4, with the second and third quarters both at thirteen weeks. Consistent with prior years, I expect the majority of our cash to come in the second half of the year. In summary, we're excited about the future for Lockheed Martin, and we are investing in numerous projects with the objective to improve the speed and capabilities of our company. Whether that's towards innovative product development, improving internal operations, or accelerating production capacity, our goal is to create unmatched technologies to support our customers' most critical missions, execute the record backlog, and trust on time and within budget. And in doing so, we will generate favorable outcomes that deliver value for all stakeholders. With that, Sarah, let's open up the call for Q&A.
Operator: Thank you. You will hear an enunciator indicating you have been placed in queue. You may remove yourself from the queue at any time by pressing star, then one again. We ask that you limit yourself to one question, please. If you are using a speakerphone, please pick up the handset before pressing the numbers. Once again, if you have a question, please press star then one at this time. Your first question comes from Scott Micas with Melius Research. Your line is open.
Scott Micas: Good morning, Jim and Evan. Wanted to ask on capital deployment. You have the big step up in CapEx for this year, and it seems like that's gonna persist for the next few years. So are you changing your overall capital deployment strategy of returning 100% free cash flow to shareholders following the president's executive orders? And if so, should investors expect that to be a new normal? And how might vertical integration factor into capital deployment going forward?
James Taiclet: Yeah. Good morning, Scott. It's Jim. We're gonna continue to use a disciplined and dynamic capital allocation process that we've been using for years. There's differences this year, which is the introduction of these long-term contracts, which I do think will be extended and expanded by the Department of War, which creates stable growth opportunities for companies like us. That the ROIs will exceed our cost of capital, and therefore, we should invest in those stable growth opportunities over much longer terms than we've ever enjoyed before. So the process remains the same, but the conditions have changed. On the availability of accretive investments that we can make in our company. The second area is R&D. And we are making inroads in a number of areas that, again, we believe with the new approach for acquisition transformation in the government, we will be able to prove ourselves by making R&D investments and building prototypes even at a greater rate than we ever have before. I'll give you just a couple examples of that. You saw one already, the autonomous Black Hawk helicopter. That's real. I mean, it flies. You can control it from a tablet, command post, or inside the aircraft, but there's where all the controls and all the intelligence are to fly using AI. You don't need a pilot in there. So we are doing this on our own R&D budget. Another example is the COMET, which is a low-cost, high-capability cruise missile design that we're creating ourselves because we do think there's gonna be upside opportunity in that arena as the cost per unit will be attractive. And then finally, as far as the drone wingman, which we know how to actually control from F-22s and F-35 and the design of a product to do that, we're building our own prototypes of the drone wingman CCA, if you will, again, on our own R&D budget because we think we will have the best product. We will get the scaled orders. And we can connect them and have shown that we can connect our design of a CCA to a fifth-generation aircraft that actually flies today, and that's a scalable opportunity for us. So there will be better and longer-term CapEx opportunities. There are more creative and open-field R&D opportunities for us. And as you mentioned, what's the vertical integration opportunity that may come throughout this administration and perhaps the next? We have been active in exploring and even attempting some mergers and acquisitions during the last five years. One that was publicized wasn't approved by a different administration. So we're gonna keep our powder dry for those opportunities too because they will be accretive as well. So what we can say today is we're gonna continue to use our disciplined and dynamic approach based on the conditions that we experience in that period of time. We're gonna allocate our capital that way.
Operator: The next question comes from Richard Safran with Seaport Research. Your line is open.
Richard Safran: Thanks. Good morning, everybody. It's okay. I have, I think, a quick two-part question on multi-years. First, regarding the two missile framework deals for PAC-3 and THAAD, what's the timing of a multiyear there? And how are you thinking about MFC margin potential, you know, over the long term? Second part, the F-35 has been mostly bought in annual increments, and for the most part. Should we be expecting a multiyear for the F-35? And how are you thinking about program quantities there?
James Taiclet: Rich, as far as the multiyear missile agreements, their frameworks, they are committed and purposeful by both sides, industry and government. There's a couple of steps that government needs to take. One is to definitize the and to do that, they need to have an appropriations that is approved. So they're working through and we will work through them on the definitized contract and RDR, actually, but all those steps do need to get be completed. The timing on that will be up to the congressional budget cycle. We expect both of those programs to be up and running under the framework agreement with appropriations by, you know, by this year, 2026, that's our expectation. On F-35, we have been publicly advocating for a few years on multi-year sustainment potential for aircraft like the F-35. There's no reason whatsoever that whether it's production, modernization, and sustainment, those activities couldn't be wrapped into a multiyear framework just like we've done for the missile systems. Some additional complexity there given the nature of the program. But there's no reason we couldn't get to the goal line should the government be interested in pursuing any of or all of those elements of the F-35. And I'll address your question, Rich, on the MFC margins. So we, in our guidance this year, have contemplated the PAC-3 and THAAD multiyear agreements getting awarded this year with initial sales starting this year. So I think, first of all, it's encouraging to see margins holding despite growth beginning this year. I think as you know, the way we do our profit recognition is we start typically at a lower profit recognition point on a program and build it up over time as we make progress on deliveries and risk. So think of this as a seven-year program that will step up over time. What that would mean for MFC margins in the coming years is some possible dilution, but probably no more than 20 to 30 basis points at max. But that's gonna then create over time an opportunity to exceed MFC margins beyond where they have historically been with the opportunity to perform that is presented to us with these multiyear agreements. Yeah. And that margin pressure because of the start-up nature of this production ramping will be in an environment where sales should be double-digit growth in MFC and maybe even mid-teens sales growth in MFC? We'll take that trade, and then margins will, as Evan just said, will catch up. This is a very, very good arrangement for Lockheed Martin.
Operator: The next question comes from Kristine Liwag with Morgan Stanley. Your line is open.
Kristine Liwag: Hey. Good morning, Jim, Evan, and Maria. Jim, thank you for your earlier comments on R&D and capital priority. There's been growing interest in disruptive defense technologies, and large established companies are often discussed and valued differently than newer entrants in the space. How do you think about technology disruption? Are there areas where you still see yourself as light speed ahead of industry? And how do you view your role within the broader defense innovation ecosystem?
James Taiclet: Yeah. Good morning, Kristine. We address disruptive technology opportunities literally every day in every business area we have. And so I'll just give you a couple. And by the way, with the geopolitical environment that faces the United States today, we need to marshal all resources in American industry, so it could be the startup community. It's the midsized companies. It's the new entrants, if you will. It's the capital markets. And the major aerospace and defense companies have to have a large role in this. Because you've gotta have the infrastructure. You gotta have the workforce. You have to have the cyber capability. You have to have the deployability around the world of anything you develop in the national defense arena of the United States. So we are all involved at every level and every BA in disruptive technology. And I'll just give you a couple examples. Start at the highest level, if you will, in space. We've already announced that we're building an operable space-based interceptor that we wanna fly in space by 2028 that would be part of Golden Dome potentially that can actually incorporate our technology of how to hit, as my chief engineer says, a bullet with a bullet in space but do it from space. That guidance technology, the ability to build the fins, the actuators, the electronics to actually make that happen. We know in this company how to do. We also know how to build satellites and also low orbit satellites that we just described on the tracking layer, where we have a billion-dollar contract to do military-hardened low orbit satellites already. So for us, it's a matter of being creative and combining our capabilities within Lockheed Martin and outside of Lockheed Martin. Right? So if any initiative in this space doesn't have military theater-level scalability, it's interesting, but it will not be decisive. We are in the business of decisive military advantage. And so I'll give you another example. And this is teaming with a new entrant. The company is called SailDrone. Many of you have heard of that. Distributed naval vehicle surface company. Pretty advanced, very well run. Excellent base product. But it'll be interesting to have, you know, surface ship drones sailing around the Pacific, but to make them decisive in deterring a potential aggressor's action, they're gonna have to be armed. And they're gonna have to be effectively armed with the reliable kind of weapon, frankly. And we're doing that with SailDrone. We've actually innovated ourselves and took a JAGM, which is a joint air-to-ground missile, so generally fired from a helicopter, for example. We've taken this air-to-ground missile, we've reconfigured it to be a ground-to-ground missile or surface-to-surface missile if you're on the ocean. That we did ourselves. We built and invented a quad launcher that will take four of these JAGMs and be able to fire them not at a vertical angle, but at a 45-degree angle, which is also new to that system. And we're installing them as partners with SailDrone on their autonomous ships. Now you've got something that can affect the deterrence equation of a potential adversary. And these are the kinds of things that we innovate on. How do we combine our own capabilities that I just described in space? And another example, how do we combine our capabilities with a proven product that the Navy actually knows how to use and has a supply chain for and has a repair system for already, that we can introduce onto a new vehicle that no one's ever had before, which would be the SailDrone autonomous shipping. So we're all about disruptive technology. Some we'll do on our own. Some we'll do with our aerospace and defense, you know, kind of prime partners. Some we'll do with smaller and more novel companies.
Operator: The next question comes from Douglas Harned with Bernstein. Your line is open.
Douglas Harned: Good morning. Thank you. Wanna go back to Missiles and Fire Control and a couple things around the PAC-3 and the THAAD deals. I mean, this is clearly very good in terms of allowing you to plan for the long term and long-term growth. But if I put this into kind of a context of history first, you know, appropriations are still done annually in Congress. And there are periods of time, and you all saw this back kind of in the 2015 time frame when there was huge growing demand for missiles. And then things changed, and that all collapsed. And so how do you get comfortable about that seven-year ramp that the support will be there? And if I can extend it a little bit, do you see the opportunities on some of the other MFC programs that you have underway to do a similar thing?
James Taiclet: Yeah. Good morning, Doug. Jim here. Yes. Traditionally, there's been annual appropriations. The administration is striving to modify that. They've already got authorization for a range of effectors or missiles through Congress, part of the process, not the complete process. But it's already been introduced, and it's advancing on a seven-year basis for, I think, it's four or five specific missile systems, including THAAD and PAC-3. So that's the first confidence builder. The second one is that the agreements that we have struck, and, you know, we were the pathfinder in these framework agreements. Others may sign on to something similar. But in our agreements, we had ensured with the department, as I alluded to earlier, that if there is a change in the procurement strategy along the way during the seven years, there are make-whole provisions that will bring our company back to sort of the same ROI cash flow perspective as we would normally have had in a single-year appropriation. So there is a remediation element to and a strong remediation element to make whole if the procurement strategy changes.
Operator: The next question comes from Rob Stallard with Vertical Research. Your line is open.
Rob Stallard: Thanks so much. Good morning.
Maria Ricciardone: Morning.
Rob Stallard: Jim, a question for you following up from Scott's question early on. I just wanted to clarify, will you be holding the buyback and dividend this year and going forward, or is it coming down? Thank you.
James Taiclet: So we will be evaluating all of our capital deployment options as time progresses. We'll announce those decisions as they occur, publicly as required and has been our practice. So we will be continuing to operate in a dynamic way. It's actually more dynamic than ever these days. And the opportunity set is much greater along the lines of what I've already described. So, Rob, we will disclose when we can what our actions are as the months progress through 2026 and beyond.
Operator: The next question comes from Gautam Khanna with TD Cowen. Your line is open.
Gautam Khanna: I was wondering if you could give us a quick refresher on how the Aero classified program is performing. And also, Evan, if you could just speak to 2027 pension requirements given where things sit today. Thank you.
James Taiclet: So on the Aero classified program, this is Jim speaking. Yeah. As a reminder, this is a very complex design and system integration activity. And risk is gonna remain over the next few years as we progress through, you know, more key phases of the program, which is progressing well. However, to note, there were no additional charges reported on this program in the fourth quarter, and we continue to proactively monitor and manage potential risks with our highest level of executives personally involved in this now. And we will keep such a close eye on the program that we should be able to identify any other potential risks and opportunities even to drive better outcomes on a much more timely basis. So where the program stands today, we're very confident in it. We're very confident in the team that we have on the field now to execute it. And it's being monitored monthly, as never before.
Evan Scott: And I'll address the pension. And it's important to note when it comes to free cash flow. I think you've seen in 2025 and now in 2026, I think we've done a very good job with a lot of focus to convert working capital to operating cash. So between the two years, you do see a significant uplift in operational cash. What that meant in 2025, of course, is that we had the ability to prefund the required 2026 pension in full such that there's no required this year to your question. That requirement does come back in starting in 2027, of at least a billion dollars depending on how we look in terms of pension performance this year. I think with the strong cash flow that we're seeing this year, we'll continue to be opportunistic as we have in prior years. If we could drive free cash flow to such a way again this year, there may be an opportunity to pre-fund 2027's required pension as well. So we'll continue to stay focused on that and advise as we make progress.
Operator: The next question comes from Myles Walton with Wolfe Research. Your line is open.
Myles Walton: Great. Thanks, and good morning. Jim, on last quarter's call, I think we talked about R&D and CapEx as a percent of sales. And at the time, you didn't see a need for that to rise materially. But, obviously, that's changed here in the release. I think I understand the CapEx side for a capacity build-out, but what changed specifically in terms of opportunity set? Was it SDA or something else? That drove the change in R&D as a percent of sales? Are these new numbers the new norms going forward, or would they go higher?
James Taiclet: So what's changed, Myles, is the department's very transparent interest in advanced technology development and to support advanced technology development. As the defense budget rises and Congress and the administration work together to decide exactly what those numbers are. But as it rises, there will be more opportunity for companies like ours to engage in more R&D type prototype activities. We've actually been doing that, you know, to the level you've seen us do for the past three or four years. And we actually have an entire process that goes from, you know, scientific level of research all the way through prototypes on active ships, Air Force, Marine bases, test ranges. We've got that process in place now and have developed it over the last few years with our customers, actually, who do trust us in these matters. And now that we see that the budget could increase in this realm, that the leadership of the research and development staff in the Pentagon is in place, and that the commitment is to be innovative, we are gonna commit more to R&D.
Operator: The next question comes from Michael Ciarmoli with Truist Securities. Your line is open.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking the question. First, Evan, just a housekeeping. Should we expect the share count to stay flat or go down this year? And then, Jim, I was wondering if you could elaborate, maybe even tying into Myles' question. You talked about $1 billion strategic investment on F-35 sustainment. Can you maybe give us a little bit more detail and unpack that, what the expectations are? Was that maybe at the direction of the government? Any more color there would be helpful.
Evan Scott: Yep. So share count will be reported quarterly as always, so you'll see that as it comes over the course of this year. On F-35 sustainment, over, I'll say, a few prior years, there was, in our opinion, some underfunding of spare parts and repair capacity in the various defense budgets previous to this administration. And we have been striving to make up for some of that ourselves with internal investment. But what we wanna do is really kind of double down on our, and frankly, we have put a billion plus into spare parts and repairs already. But we're gonna double down on that to make extra effort to improve the mission-capable rates of the aircraft and kind of make up for this unfortunate spare parts and repairs deficit that's been created over the last, you know, four, five, whatever years. That's just something we're gonna step up and do. It does require investment, but these systems are so critical in today's world that we do feel that we are gonna get benefit both financially and operationally the performance of the aircraft for making this investment, so we're going to do it.
Evan Scott: And I'll note that this elevated investment is, I think it's clear, is to the underlying strong operational cash flow.
Operator: The next question comes from Gavin Parsons of UBS. Your line is open.
Gavin Parsons: Thank you. Good morning.
Maria Ricciardone: Good morning.
Gavin Parsons: Quick clarification on cash flow first. Is there any customer support or CapEx reimbursement in your operating cash flow? And then on the PAC-3 and THAAD frameworks, could you talk a little bit more about how those are structured, maybe particularly as it relates to kind of the performance opportunity versus risk? Thank you.
Evan Scott: Yes. So with respect to cash flow and CapEx, what are the key dynamics of these multiyear agreements? Is that they're in no way intended to be punitive. This is a customer partner with us to find the best, most efficient way to rapidly scale capabilities to the warfighter. And as such, I think we're gonna see some partnership with cash flow terms to make sure that we're well supported as we make these investments. So I think you are going to see an elevated working capital benefit or operational benefit to offset some of these CapEx expenditures. So that is a key part of what we're contemplating with these deals.
James Taiclet: Yeah. And then there's incentives in both the Patriot and the THAAD framework agreements for us to outperform the objectives. And so what we have agreed upon is a profit sharing above a certain robust level, I'll call it, where we start to share some of the increased profits with the US government by plowing some of those increased profits back into something like I just talked about, which is additional spare parts or it's additional equipment or tooling in the factory. Those kinds of things. And so there's a sort of reinvestment mechanism in a profit-sharing vehicle, if you will, for us to even better support these programs going forward on behalf of and with the government.
Maria Ricciardone: Great. And, Sarah, I think we have time for one last question as we're approaching time here. Thank you.
Operator: Thank you. Your last question will come from Sheila Kahyaoglu with Jefferies. Your line is open.
Sheila Kahyaoglu: In the past, Jim, maybe you've talked about a target framework with low single-digit revenue growth in the single digits and 10 to 20 basis points of margin expansion. In light of what we've seen recently with PAC-3 and THAAD, double-digit growth at MFC is inevitable. So how do you think about the target growth model? And maybe the segment ranking through that? Outside of MFC and free cash flow contribution going forward?
James Taiclet: So, Sheila, we do see upside to growth both, you know, again, once we get things ramped up and margin compression out of the way. But certainly on revenues, and then you have to follow on margins and certainly on operating profit as well. So we do see upside there. I could turn it over briefly to Evan just to talk a little bit about each of the business areas quickly.
Evan Scott: Yeah. So underlying, I think to Jim's point, there's a strong growth pace by MFC. Space continues to be our second fastest-growing business now as we've seen strength in the strategic missile defense business particularly, but also in the classified space area. So I think, and with respect to MFC, you know, we are scaling other munitions beyond the ones that were contemplating these multiyear agreements. So all across the board there, I think you're seeing strong revenue growth. As we look kind of beyond, I mean, we're not ready to give multiyear frameworks at this point, but I do think you're gonna continue to see upward pressure on revenue and a real intention to drive margins. And in the next couple of years, we still have some dilutive pressure of some of the programs that we took prior losses on. So as those sort of work down, there's gonna be, I believe, increased margin opportunity in the out years. And as time goes, we'll give added insight into that.
James Taiclet: Alright. Well, thanks for joining our call today, everyone. 2025 was a successful year for Lockheed Martin, and we're already carrying that momentum into 2026. As the war department continues to adopt new ways of doing business, I am more confident than ever in our company's ability to deliver both value to our military services and our allies and to our shareholders. I'd like to thank our 121,000 Lockheed Martin teammates for their commitment and dedication to the mission. And I look forward to speaking with all of you in April for our first quarter earnings call. Sarah, that concludes our call for today.
Maria Ricciardone: Thank you. This concludes today's conference call. Thank you for joining. You may now disconnect.